Operator: Welcome to KeyCorp's second quarter 2009 earnings results conference call. This call is being recorded. At this time I would like to turn the call over to the Chairman and Chief Executive Officer, Mr. Henry Meyer. Mr. Meyer, please go ahead.
Henry Meyer: Thank you, operator. Good morning and welcome to KeyCorp's second quarter 2009 earnings conference call. Joining me for today's presentation is our CFO, Jeff Weeden and also available for the Q&A portion of the call are our Vice Chairs, Beth Mooney and Peter Hancock; Chief Risk Officer, Chuck Hyle and our Treasurer Joe Vayda. Slide two is our forward-looking disclosure statement. It covers our presentation materials and comments as well as the Q&A segment of our call today. Now if you turn to slide three. Today, we announced net loss from continuing operations of $236 million or $0.69 per common share. These results reflect an extremely weak operating environment and continuation of the credit cycle. Jeff will comment more on the earnings in a minute but before he does I want to make a few comments about the measures we are taking here at Key to address this challenging environment which we believe will then put Key in a position to compete and win with our clients and for our shareholders. First, we have raised over $1.8 billion of tier one common equity to address the SCAP requirement. We believe Key has always maintained a strong capital position and with these most recent actions, along with the update we have provided in today’s earnings release with respect to the pending exchange of new common shares for our existing retail capital securities, we will further fortify this position. At June 30, 2009 our tier one common equity ratio was a strong 7.27% and our tier one risk based capital ratio was 12.42%. In light of the prevailing weak economic environment we have continued to build our reserve for loan losses. For the second quarter our provision exceeded our net charge offs by $311 million. In addition, we continued to work down the exit loan portfolio balances. The combination of building reserve balances and a smaller loan portfolio resulted in a reserve for loan loss coverage ratio of 3.53% at June 30, 2009. We have also continued to strengthen our funding and liquidity positions which have benefited from deposit growth in both our community banking and national banking organizations. In our community bank, average deposit balances were up $2.7 billion or 5.5% compared to the year ago period and in our national banking group average deposit balances increased $1 billion or 7.9% compared to the second quarter of last year. Focusing on our client relationship business model and maintaining our expense discipline to deliver value have remained our top strategic priorities. We continue to look for ways to serve our clients better by streamlining our operations to eliminate lower valued activities and capitalize on investments we have made to improve the client experience. As we discussed previously, we have a corporate wide initiative called Keyvolution underway that is designed to simplify process and improve both client service and speed to market. Over the past 15 months we have been reviewing our business mix and evaluating our processes throughout the company. As a result, we have eliminated certain business activities and installed new technology to improve the client experience. We have also reduced employee headcount by approximately 8% or 1,500 positions. As highlighted in our earnings release, in the second quarter we entered into extensions of credit with clients representing approximately $8.2 billion in new or renewed loans and commitments. Now if you will turn to slide four. Slide four provides a summary of the company’s previously announced second quarter 2009 capital initiatives. We believe this additional capital along with a current offer to exchange common stock for up to $500 million of our outstanding retail capital securities which we expect to complete on August 4th will provide us with even greater flexibility to benefit from new business opportunities over the next several years. Slide five shows our progress through June 30, 2009 and the future expectations with respect to Keyvolution over the next 2.5 years for process improvements here at Key. Initiatives that have already been implemented will result in an annualized cost savings run rate of $63 million with an additional $72 million in flight. There are approximately $58 million in one-time costs and investments including severance associated with these savings opportunities. We have also identified additional targeted benefits with Keyvolution of $165-240 million which along with our implemented or in flight initiatives will produce total annualized run rate cost savings of $300-375 million with a significant portion captured over the next two years and the full run rate to be achieved in 2012. Actions taken this year include reducing and realigning our sales force and management infrastructure in community banking and national banking. We have rebalanced relationship manager client loads and refocused RM’s towards client segments that offer the greatest risk adjusted earnings potential. We are also realigning our sales service roles so Key is better positioned to attract new clients and serve existing relationships. In addition, we optimized our virtual call center operations and moved resources to our Cleveland and Buffalo operations centers. This allowed us to capture additional scale benefits and improve client service and response times. Combined, these two initiatives will contribute over $40 million on an annualized basis to the reduction of costs I mentioned earlier. We believe that Keyvolution will benefit our clients and our shareholders by streamlining our processes to improve responsiveness and efficiency. Now I will turn the call over to Jeff Weeden for a review of our financial results. Jeff?
Jeff Weeden : Thank you Henry. Slide six provides a summary of the company’s second quarter 2009 results. As Henry mentioned, we incurred a net loss of $0.69 per common share for the quarter. Earnings per common share were impacted by elevated credit costs including building the reserve for loan losses by $311 million or $0.34 per common share. The deemed dividend of $114 million or $0.20 per common share on the exchange of common shares or 367 million of our outstanding series A preferred shares, the FDIC special assessment was $44 million or $0.05 per common share, security gains of $125 million or $0.13 per common share and gains related to the exchange of common shares for certain institutional capital securities in the amount of $95 million or $0.10 per common share. We have included a more extensive list of the items impacting our second quarter results on page three of today’s earnings release. Turning to slide seven, for the second quarter of 2009 the company’s tax equivalent net interest income adjusted for early terminations of certain leverage lease financing arrangements was $614 million compared with $620 million in the previous quarter. The adjusted net interest margin was 2.74% for the second quarter, down three basis points from the first quarter of 2009. The company continues to benefit from improved pricing for new and renewed loans. However, sequential quarterly change is somewhat muted given the size of the existing loan portfolio and the negative impact of carrying higher levels of non-performing loans. Also keeping pressure on the margin in the second quarter were higher average balances of short-term investments. In May 2009, we repositioned part of our investment portfolio by selling $2.8 million of our available for sale portfolio. The proceeds from this sale were reinvested in new issue CMO’s backed by Fannie Mae, Freddie Mac or Jennie Mae. These replacement security purchases do not settle until the end of June which resulted in higher average balances and lower yields in short-term investments for the quarter. With the redeployment of these short-term investments, along with investing additional sums from the positive deposit flows we have been experiencing and deposit pricing moderating some in our markets we expect to experience an improvement in the net interest margin in the second half of the year. Turning to slide eight. The loan categories on this slide have been adjusted for the exit portfolio shown. For example, the marine RV floor plan loans on this slide have been removed from the commercial financial and agricultural loans, the CF&A totals, for all periods and are reflected in the exit portfolio details. During the second quarter the company experienced a $2.9 billion decrease in average total loan balances compared to the first quarter of 2009 and a $4.3 billion or 5.6% decline compared to the second quarter of 2008. The decline in average balances reflects the soft demand for credit on the part of commercial customers due to the weak economic conditions, pay downs on the exit portfolio and elevated net charge offs. In our community banking operations, the home equity portfolio remained relatively unchanged from the first quarter level and was up 5.4% compared to the second quarter of 2008. Turning to slide nine. Average deposits increased $2.8 billion or 17.3% annualized from the first quarter. Average deposits are up $5.9 billion or 9.7% from the same period one year ago. Deposit flows have remained very strong for both community banking and national banking. This, along with soft loan demand, has significantly improved the loan to deposit ratio over the last two quarters. Given the low rate environment and the safety offered by FDIC insured demand deposit accounts, businesses have significantly increased their deposits over the past two quarters. Compared to the second quarter of 2008, demand deposit accounts are up $2.0 billion or 18.4%. These higher balances in commercial demand deposit accounts also offset transaction service charges in analyzed deposit accounts. Slide ten shows a number of asset quality measures and the trends we have experienced over the past five quarters. Net charge offs in the second quarter were $539 million or 2.99% of average total loans which was up from $419 million or 2.65% experienced in the first quarter of 2009. The increase was largely due to continued weakness in the commercial real estate mortgage and construction portfolios. We also experienced an increase in non-performing loans and non-performing assets in the current quarter. Non-performing assets were up $554 million and non-performing loans were up $450 million in the second quarter when compared to the first quarter of 2009. The increases are primarily due to the CF&A and commercial real estate portfolios. As of June 30, 2009 non-performing assets represented 3.58% of total loans, other real estate owned and other non-performing assets. As we discussed earlier, we continued to build reserves during the second quarter. At June 30, 2009 our reserve balance stood at approximately $2.5 billion and represented 3.53% of total loans and 114% of non-performing loans. In the last year, reserve balances for loan losses have been increased by approximately $1.1 billion. Slide 11 provides a breakdown of our credit statistics by portfolio for the second quarter. This slide provides additional information with respect to our various portfolios by classification type. Net charge offs in our CF&A portfolio remained elevated in the second quarter at 2.75% of average balances. However, they are down $64 million from the first quarter 2009. As we discussed in our first quarter earnings call, CF&A net charge offs were significantly impacted in the first quarter by commercial real estate related credits in our real estate capital division and certain net charge offs in the institutional bank related to technology clients. Both of these areas experienced improvement in net charge offs in the second quarter. All other major loan categories experienced an increase in net charge offs in the second quarter compared to the first quarter of 2009 except the marine exit portfolio which experienced a seasonal improvement. We also continued to see increases in non-performing loans across all major asset categories and business lines in the second quarter. This should result in net charge offs remaining elevated for the next several quarters. We have included in the Appendix section of our materials additional information with respect to our commercial portfolios by line of business and a break down of the residential property segment and the retail property segment within the commercial real estate portfolio. In addition, we have provided additional detail on our home equity portfolio as of June 30, 2009. Slide 12 provides an updated view of our commercial real estate portfolio at June 30, 2009 by property type and by geographic location. As mentioned on the previous slide, we have additional details included in the Appendix on the retail and residential property segments of this portfolio. Overall, we continued to see an increase in non-performing loans and 90 days past due loans in this portfolio when compared to the first quarter 2009 levels. However, 30-89 day past due loans showed some improvement in the second quarter compared to March 31, 2009. Slide 13 is an update on the activity during the past quarter within the exit portfolios. Progress continued at a relatively modest pace due to the limited refinancing opportunities in these areas for businesses and consumers. These portfolios which totaled $8.5 billion at the end of the second quarter, represented 11.8% of total loans and loans held for sale, 28.9% of second quarter net charge offs and 21.9% of total non-performing assets. Finally, turning to our capital ratios on slide 14, with the capital initiatives completed during the second quarter and the reduction in the risk weighted assets we have experienced our capital levels have increased significantly from the first quarter of this year. At June 30, 2009 our tangible common equity and tangible asset ratio was 7.35%. Our tier one common equity ratio was 7.27% and our tier one risk based capital ratio was 12.42%. Based on the approximately $534 million of early tenders we have received with respect to the exchange offer for the retail capital securities for common stock, management has made the determination to limit the total aggregate liquidation preferences on securities the company will accept to $500 million. Assuming this exchange is completed at this level on a pro forma basis the exchange will add approximately 50 basis points to our tier one common equity ratio. That concludes our remarks and now I will turn the call back over to the operator to provide instructions for the Q&A segment of our call. Operator?
Operator: (Operator Instructions) The first question comes from the line of Craig Siegenthaler – Credit Suisse.
Craig Siegenthaler – Credit Suisse: First we just want to see if you could provide some of your prospects for the net interest margin over the next few quarters especially in light of probably some weaker competition in the deposit and CD side from some of your regional peers.
Jeff Weeden : We don’t provide specific guidance with respect to the margin but we will provide and we did provide guidance with respect to the direction. We believe that the margin will improve based upon again things that we said earlier. We are receiving better spreads on our loans and we are seeing competition for deposits moderate and also the redeployment of our short-term investments into longer term investments will also have a positive impact on the margin.
Craig Siegenthaler – Credit Suisse: It looks like your C area of commercial real estate charge offs, which really didn’t pick up last quarter, picked up this quarter. I’m wondering if you could discuss some of the drivers behind that. Maybe was it kind of a one-off large charge or is this just part of the natural seasoning of the C area loss curve?
Chuck Hyle : I think it is really more of the latter. Clearly the fundamentals in real estate haven’t changed or improved very much. So timing of the charge offs I think is not necessarily quarter by quarter. I would say that the rate of migration in the CRE portfolio which was not good in January, February, March and into April has shown some deceleration particularly in the second half of this particular quarter so we are seeing a little bit of better news there. I think it is very fair to say that fundamentals in the business are still not very good and show no particular signs of improving.
Operator: The next question comes from Gerard Cassidy – RBC Capital Markets.
Gerard Cassidy – RBC Capital Markets: You mentioned that the retail trough you are going to limit it to about $500 million I think you said and it is going to obviously increase the tier one common equity ratio up by about 50 basis points. What would the pro forma book value be if it was completed by the end of the second quarter when you convert those into common equity?
Jeff Weeden : Obviously it depends on the price of the exchange, the number of shares issued. So we are still in that pricing period. If we assume similar to yesterday’s levels going on out it would have an impact on the tangible book value per share in the $8.60 range.
Gerard Cassidy – RBC Capital Markets: Regarding credit quality, you are one of the few banks that gives us the inflow of non-accrual loans from the accrual category. I noticed this quarter there seemed to be less of an increase in that line. Can you give us some color on what you saw, maybe it was alluding to Chuck’s comment about the migration slow down on commercial real estate, but if you look at the immigration if you would of the new non-accrual loans in Q2 versus Q1 it was much lower than what Q1 was to the fourth quarter of last year.
Chuck Hyle : I think you are right in picking up on that comment. I would say also the residential side because we have brought that portfolio down. I think we peaked almost three years ago at something like $5.2 billion. Somewhere in that range. We are down to about $1.6 billion. So we brought that portfolio down pretty dramatically and clearly that is the portfolio with the biggest issues and the highest loss content. As that gets down to a smaller number I think that is certainly a trend that would influence your earlier comment. I think that is probably the best way to frame it.
Gerard Cassidy – RBC Capital Markets: I know you have the exit loan portfolio which is going to be constantly worked down. Do you have any sense of when you could actually see net growth in the loan portfolio, total consolidated loan portfolio?
Jeff Weeden : Consolidated loan portfolio growth is also going to be dependent on the recovery of the U.S. economy. We have these particular exit portfolios as you referred to that are a negative vector but also, I think what we are seeing here too are customers are continuing to de-leverage on their own and so we have had positive deposit flows and loan demand remains very, very soft. We are in the business of making loans as you know but it does take the demand on the other side.
Operator: The next question comes from Terry Mcevoy – Oppenheimer.
Terry Mcevoy - Oppenheimer: Looking at the $87 million of commercial real estate charge offs could you break out the residential properties in the retail segment from page 27 and 28 just to give a sense for how much those two buckets contributed to CRE charge offs?
Jeff Weeden : I don’t think we have that right off the top of our heads right now. Unless you have it Chuck?
Chuck Hyle : I don’t have it right in front of me. No.
Terry Mcevoy - Oppenheimer: Then you mentioned the sequential improvement in C&I charge offs and some of the items in the first quarter that made that number higher. If you exclude those two items, the technology credit and some of the CRE related credits, what was the core apples-to-apples comparison in C&I charge offs? Did that actually go up?
Jeff Weeden : In the portfolios and probably the best place to look is in the Appendix section of the slides that has the commercial portfolios on it, slide 26, if you look at that in the first quarter within the institutional bank there were approximately $35 million of the $44 million that were really related to two credits. If you look at it from that perspective the 12 is more of a normal type of range excluding that particular bump up that we had. With respect to what was in the commercial real estate and you look at that particular group the $108 million of net charge offs in that commercial book in the first quarter that is listed there, that is primarily related all to commercial real estate related clients within that particular division. They just happened to not be “secured” by real estate. That is a large piece of it. Then if you look at the other particular areas you will see just normal migration within regional banking which is going to include your business banking clients and commercial banking, while it is up in the second quarter is still at a very modest level and it was coming off of a very low level in the first quarter. So the rest of the portfolios, equipment finance showed some improvement in that C&I book and within the consumer finance, primarily dealer floor plan. Dealer floor plan losses and charge offs still remain elevated but they were down slightly from first quarter levels.
Terry Mcevoy - Oppenheimer: One last question, on your outlook for charges you said they will remain elevated given the increase in Q2 in non-performing assets. Would you characterize the $535 million of charge offs this quarter as elevated or is that extremely elevated? I’m just trying to get a sense for the second half of this year.
Jeff Weeden : I think we would refer to the level we experienced if you look at the first quarter and second quarter of this year as being an elevated level. We would expect charge offs to remain at an elevated level for the next few quarters.
Operator: The next question comes from [Analyst] – Morningstar Equity Research.
[Analyst] – Morningstar Equity Research : Looking at your current loans past due 90 days or more, they increased by $153 million or so and past due 30-89 decreased by nearly twice that amount which leads me to think there was actually an improvement in that segment. I am wondering if that improvement was fairly spread out through the quarter or if you saw like more pronounced in one or two ends of the quarter.
Chuck Hyle : It is hard to know or to pinpoint it in the quarter. As I said earlier I think the general tone of migration improved in the second half of the quarter. I would say in the 90 day plus bucket most of the increase was in commercial real estate and a good portion of that was in the income property subset. We are seeing some delinquency and some payment issues in multi-family, largely in western and southern states. A high correlation to the difficulties in the residential portfolio. Having said that our general view is that while lease up is slower in some of these markets, loss content over time will not be nearly as problematic as the residential side. We are certainly seeing some increase in delinquencies in that particular sector. Most of the rest of the categories have been relatively good and certainly we are seeing it in the early stage delinquency side across almost all parts of our business some modest improvement.
Operator: The next question comes from Jeff Davis – FTN Equity Capital.
Jeff Davis – FTN Equity Capital : Following on your comments, and we saw similar trends with early stage delinquencies improving largely across all portfolios but maybe not everyone at SunTrust and a couple of other reports this far. If you had to handicap it are we in the sixth or seventh inning of this credit cycle or is it just unknown?
Chuck Hyle : I’m not very good on the baseball analogies. It is really hard to figure these things out. I think that we have seen, as I said earlier, modest level of improvement. Whether we are approaching an inflection point is I think anybody’s guess. We take a pretty conservative view on that. As I said the fundamentals are still not very strong. I think another point of a sort of modest positive would be we are seeing a little bit more liquidity in selling assets. The first quarter was abysmal for everybody. The second quarter again in line with earlier comments started slow but is starting to pick up a bit. It is pretty much improving I think more on the commercial end. Anything that has either current cash flow or the prospect of cash flow is beginning to attract some attention. I think we sold $12 million of loans or something in the first quarter. It is up in the second quarter to sort of mid 50’s and the activity continues. I think that is at least an early sign there is a bit of thawing going on. This is off a very low base so we are sort of taking it one day and one deal at a time and trying to find those pockets of liquidity.
Jeff Davis – FTN Equity Capital : Thematically from an improvement in 30-89 days, whether for you all or someone else in the industry, is it a function of the banks being a little bit more aggressive in calling the non-performer and clearing them out sooner and/or the marginal ball or who got credit in the late stage of the cycle has been cleaned out or is this something that is going to stick and ultimately translate into this thing’s turning?
Chuck Hyle : Again, very hard to predict and there are lots of anecdotes hitting all of your possible outcomes there. I would say given the length of the problems and particularly the residential real estate side those developers who didn’t have a lot of staying power are clearly not doing well and are probably already in the NPL category. We are doing lots of negotiating. I would say that we have probably renegotiated across the commercial real estate book with stronger borrowers something like $2.3 billion in commitments in the first half of the year with another very large number currently under negotiation with very strong prospects of successful renegotiation. Those renegotiations are where a brand new appraisal. We often get a pay down or more equity or additional collateral. Indeed even are able to raise the spread on that loan. So we are not talking about basket cases here. We are talking about commercial real estate that is viable. We just need to get all the way through the cycle and get some liquidity back in the market and things of that nature. We are doing a lot of that work and as a result I think the weaker borrowers are clearly not in the 30-89 day bucket anymore. They are well past that.
Jeff Davis – FTN Equity Capital : From a regional perspective and I may have missed it on the call, and if I did don’t comment. Core footprint of Ohio, what was your feeling there whether we are looking at resi mortgage or typical C&I credit say versus earlier in the year?
Chuck Hyle : I think it is fair to say it hasn’t changed that dramatically in Ohio. It clearly went down earlier in terms of home equity portfolio. Certainly some of the manufacturing middle market companies got hit earlier in the downturn. I would say that hasn’t changed very dramatically second quarter over first quarter.
Operator: The next question comes from David Konrad – KBW.
David Konrad - KBW: The expense level even on a core basis seemed a little bit elevated relative to my expectations and it brought down pre-provision earnings. I was wondering if you could give a little bit more color on the expense run rate in the back half of the year given the expense initiatives and what we should look for there.
Jeff Weeden : I think in terms of we are continuing to remain very focused obviously on our expenses and managing those. The initiative we have underway that we talked about earlier, the Keyvolution initiatives, will start to show more benefits as we get further into 2010 and 2011. The costs associated with achieving those particular reductions and realignments that we have in the organization obviously hit right up front. You will see that in the higher professional fees that we incurred during the current quarter. We also had costs associated with ORE and I think the other item that is hitting everybody in the industry is the FDIC assessment. Those particular items, we are not planning an additional assessment but that is obviously something that is not directly within our control with the FDIC. I think in terms of professional fees they will remain elevated as we go through just from collection and business related costs that we are incurring there and ORE expenses as you see other real estate and other assets were up in the current quarter and there is a cost associated with that in addition to just regular collection and repossession expenses that we are incurring. We are very focused on it. I think a number of items outside of those particular ones were very well controlled. Personnel costs bounced back a little bit in the quarter as we had income that went up in some of our custom investment management areas and you will see that was driven by some higher brokerage related revenues that we have broken out in our press release. Then we also had obviously in the first quarter we had some reversals of accruals just simply due to the TARP provisions on compensation.
Operator: The next question comes from Charlie Ernst - KBW
Charlie Ernst - KBW: Back on the margin, I think you said in the press release the margin suffered seven basis points because of the charge. That is right?
Jeff Weeden : Correct.
Charlie Ernst - KBW: The short-term earning asset increase of about $2.7 billion I am calculating if you just strip that out and assume there is no negative carry on there that clipped the margin about another eight basis points. Is that about right?
Jeff Weeden : I think that is a fair assessment.
Charlie Ernst - KBW: Can you just say again what you are reinvesting those short-term earning assets in?
Jeff Weeden : We are going in to CMO’s basically CMO packs that are new issuance primarily from Fannie, Freddie and Jennie. Duration on them would be in the 3.5 year level.
Charlie Ernst - KBW: What kind of yield do those carry?
Jeff Weeden : I think you can probably look at we are getting whatever the market is providing for loans. Of course we will have more that will settle as we go into the third quarter here. I think you can assume it is somewhere around 3-3.5% range.
Charlie Ernst - KBW: The increase that was about $2.7 billion in the quarter was pretty much all of that increase in these CMO packs?
Jeff Weeden : No. Which increase are you referring to?
Charlie Ernst - KBW: I am looking at the average balance sheet. The short-term earning asset position was up about $2.7 billion in the quarter.
Jeff Weeden : That is all in Fed funds for the short-term investments. You can see the yield on that was I think about 0.26%. So it was a pretty low yielding asset that we had for the quarter on an average balance. We have had strong flows of deposits and there are loans that have been paying down but that added to that short-term liquidity. Bear in mind we will probably just handle and carry more short-term liquidity in the future.
Operator: At this time we have no further questions. Gentlemen I will turn the conference back over to you for any concluding remarks.
Henry Meyer : Thank you. Again, thank you for taking the time from your schedule to participate in our call today. If you have any follow-up questions on the items we have discussed please don’t hesitate to call Vern Patterson, head of our Investor Relations Group at (216) 689-0520. Operator that concludes our remarks. We hope everyone has a good day.